Operator: Greetings, and welcome to the Installed Building Products' Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Darren Hicks, Vice President of Investor Relations. Thank you. You may begin.
Darren Hicks: Good morning, and welcome to Installed Building Products' Third Quarter 2025 Earnings Conference Call. Earlier today, we issued a press release on our financial results for the third quarter, which can be found in the Investor Relations section of our website. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of federal securities laws. These forward-looking statements are based on management's current beliefs and expectations and are subject to factors that could cause actual results to differ materially from those described today. Please refer to our SEC filings for cautionary statements and risk factors. We undertake no duty or obligation to update any forward-looking statement as a result of new information or future events, except as required by federal securities laws. In addition, management refers to certain non-GAAP and adjusted financial measures on this call. You can find a reconciliation of such non-GAAP measures to the nearest GAAP equivalent in the company's earnings release and investor presentation, both of which are available in the Investor Relations section of our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; Michael Miller, our Chief Financial Officer; and we are also joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. Jeff, I will now turn the call over to you.
Jeffrey Edwards: Thanks, Darren, and good morning to everyone joining us today. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results in more detail before we take your questions. With another quarter of record sales and profitability, 2025 has been another very encouraging year for IBP. Our national network of branches continue to execute at a high level, delivering reliable installation services to large, medium and small homebuilders and commercial developers. While local market dynamics can vary greatly across the country, our results highlight the benefit of IBP's scale, product and end market diversity and the trust we place in our branches to make the right operating decisions for their respective markets. Although the 10-year U.S. treasury rate has come down since our second quarter call in August, homeownership remains incredibly expensive for most people, which we believe will remain the biggest challenge for our customers selling new homes in the near term. Still, we are confident in the long-term fundamentals of the U.S. housing construction industry, and we remain focused on growing earnings and cash flow while diligently deploying capital to shareholders. Through the 9 months ended September 30, 2025, we paid nearly $78 million in cash dividends and repurchased approximately $135 million of our common stock, returning nearly $213 million of capital back to our shareholders. In October, we published our 2025 ESG report, highlighting IBP's continued efforts to support environmental sustainability, employee well-being and community engagement in pursuit of a more sustainable and equitable future. Since our inaugural ESG report was published in 2021, we have made steady progress reducing our carbon footprint. We believe our efforts today are laying the foundation for a stronger, more sustainable future for our employees and people representing all communities. Looking at our third quarter sales performance, consolidated sales increased 2% and same-branch sales were roughly flat. In our largest end market, same-branch new single-family installation sales were down 2%, while adjusting to the pace of residential housing and commercial building construction in local markets, our branches did a tremendous job growing complementary product sales by a double-digit percentage relative to the same period last year. Third quarter installation sales in our multifamily end market were down 7% on a same branch basis. But looking ahead, several markets are stabilizing and showing improvement. As of the end of September, contract backlogs at key branches have grown year-over-year, and we have secured jobs in geographic markets in which we previously had little or no presence. Third quarter commercial sales in our installation segment increased 12% on a same branch basis from the prior year period. Our heavy commercial end market continued to be the dominant driver of sales growth in this end market, which more than offset weakness in our light commercial end market. Based on the growth in our heavy commercial contract backlogs, we believe heavy commercial sales and profitability are poised to remain healthy beyond 2025. During the 9 months ended September 30, 2025, cash flow from operating activities increased 16% to $307 million, which primarily reflected improvements in working capital management. Year-to-date, we have acquired nearly $60 million in annual sales. We remain disciplined in our approach to find well-run businesses that would make strategic sense, support attractive returns on invested capital and fit well culturally. Our core residential installation end market remains highly fragmented with considerable opportunity for consolidation. During the 2025 third quarter, we acquired a North Carolina manufacturer of cellulose-based insulation for homes, hydromulch for erosion control and composite materials used in industrial applications with an annual revenue of $20 million. In addition, in October and November, we acquired a business with a value-added wholesale glass design and fabrication division and a retail sales and installation operation, primarily serving residential customers throughout the Southeastern United States and annual sales of approximately $12 million, an installer of drywall and metal stud framing across a balanced mix of commercial and residential end markets throughout Wisconsin with annual sales of approximately $4 million and an installer of insulation in the single-family, multifamily and commercial structures across South Dakota, North Dakota, Wyoming and Nebraska with annual sales of approximately $3 million. Single-family starts year-to-date through August 2025 have decreased by 5% from the prior year, while multifamily starts are up 15% for the same period. Looking into 2026, as is typically the case, the new residential construction outlook will be influenced by consumer confidence and buyer activity during the spring home selling season. However, with persistent challenges from housing affordability, we are expecting residential housing starts will be flat compared to 2025, a level that is above the 5-year average from 2017 to 2021. For individuals and families with housing affordability concerns or shifting lifestyle preferences, newly constructed multifamily housing helps meet the needs of growing markets. Over the long term, we continue to believe that the volume growth in our business is supported by a fundamental undersupply of residential housing and the gradual adoption of advanced building codes for the purpose of improved energy efficiency across the U.S. We believe IBP continues to operate from a position of strength as we remain flexible in navigating any potential near-term challenges. Our national scale, strong customer relationships, experienced leadership team and sales across product categories and end markets create a solid platform for IBP to serve our customers and meet their operational efficiency goals. Although broader macroeconomic uncertainty influences prevailing market conditions in our industry and in many others, we remain focused on profitability and effective capital allocation to drive earnings growth and value for our shareholders. I am proud of our team's continued success and commitment to doing an excellent job for our customers. To everyone at IBP, thank you. I remain encouraged by the fundamentals of our industry, our competitive positioning and I'm optimistic about the prospects ahead for IBP and the broader insulation and complementary building product installation business. So with this overview, I'd like to turn the call over to Michael to provide more detail on our third quarter financial results.
Michael Miller: Thank you, Jeff, and good morning, everyone. Consolidated net revenue for the third quarter increased 2% to a record of $778 million compared to $761 million for the same period last year. Same-branch sales for the Installation segment were flat for the third quarter as a 12% increase in commercial same-branch sales more than offset a 3% decline in residential same-branch sales. Although the components behind our price mix and volume disclosure have several moving parts that are difficult to forecast and quantify, we reported a 1.5% increase in price/mix during the third quarter. This result was offset by a 4.8% decrease in job volumes relative to the third quarter last year. It is important to note that our heavy commercial end market and the other segment results are not included in the price/mix volume disclosures. Our heavy commercial same-branch sales growth exceeded 30% during the 2025 third quarter, including the heavy commercial installation sales. Price/mix increased 4.4%, while job volume decreased 4.5% during the 2025 third quarter. With respect to profit margins in the third quarter, our business achieved adjusted gross margin of 34%, an increase from 33.8% in the prior year period. The year-over-year increase in margin during the quarter was in part related to a shift in customer, product and geographic mix. Adjusted selling and administrative expenses were stable relative to the 2024 third quarter. As a percent of third quarter sales, adjusted selling and administrative expenses decreased to 18.2% compared to 18.5% in the prior year period. Adjusted EBITDA for the 2025 third quarter increased to a record $140 million, reflecting an adjusted EBITDA margin of 18% and adjusted net income increased to $86 million or $3.18 per diluted share. Although we do not provide comprehensive financial guidance, based on recent acquisitions, we expect fourth quarter 2025 amortization expense of approximately $10 million. We would expect these estimates to change with any acquisitions we complete in future periods. Also, we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2025. Now let's look at our liquidity position, balance sheet and capital expenditures in more detail. For the 9 months ended September 30, 2025, we generated $307 million in cash flow from operations. The 16% year-over-year increase in operating cash flow was primarily associated with improvements in working capital management. Our third quarter net interest expense was $7 million compared to $8 million for the 2024 third quarter as lower interest income from investments was offset by lower cash interest expense on outstanding debt. At September 30, 2025, we had a net debt to trailing 12-month adjusted EBITDA leverage ratio of 1.09x compared to 1x at September 30, 2024. This remains well below our stated target of 2x. At September 30, 2025, we had $330 million in working capital, excluding cash and cash equivalents. Capital expenditures and total incurred finance leases for the 3 months ended September 30, 2025, were approximately $20 million combined, which was approximately 3% of revenue. This is higher than usual as we accelerated vehicle purchases in advance of expected price increases. With our strong liquidity position and modest financial leverage, we continue to prioritize allocating capital to achieve the best returns while distributing excess cash to shareholders. During the 2025 third quarter, IBP repurchased 200,000 shares of its common stock at a total cost of $51 million and 700,000 shares at a total cost of $135 million during the 9 months ended September 30, 2025. At September 30, 2025, the company had approximately $365 million available under its stock repurchase program. As previously announced, IBP's Board of Directors approved the fourth quarter dividend of $0.37 per share, which is payable on December 31, 2025, to shareholders of record on December 15, 2025. The fourth quarter dividend represents a 6% increase over the prior year period. With this overview, I will now turn the call back to Jeff for closing remarks.
Jeffrey Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by once again thanking IBP employees for their hard work and commitment to our company. Our success over the years is made possible because of all of you. Operator, let's open up the call for questions.
Operator: First question comes from Stephen Kim with Evercore ISI.
Aatish Shah: This is Aatish Shah on for Steve. I just want to touch on how you see backlogs for multifamily and commercial. And do you still see a multifamily rebound in 1Q? And then on the commercial side, are you seeing any delays there? Any color there would be helpful.
Michael Miller: So this is Michael. On the multifamily side, as we talked about really in the first quarter and the second quarter, we expected through the rest of this year, continued headwinds, which I think we saw in the third quarter, although our team has done a phenomenal job of outperforming relative to the market. We believe they will continue to do that. As Jeff mentioned in his prepared remarks, we're seeing in certain markets, building of backlogs in those markets as well as gaining share in new markets for ourselves. So for us, the multifamily story continues to be intact in terms of us strategically gaining market share, not just in insulation, but in the complementary products as well. And as we -- pretty much everyone on this call would know that multifamily starts have performed pretty well this year because of the lag time from start to install on the multifamily side, we don't expect to see any benefit of that starts growth or the share gains that we're experiencing in multifamily until '26, it's probably going to be more weighted towards the back half of '26 than the front half of '26. So really, a lot depends on the trades that come before us to get their aspects of the trades done. But we are seeing -- continuing to see good bidding activity and are surprised, actually some markets like Florida, which is, I think everybody knows is probably the weakest residential market right now, is seeing some actually decent multifamily development. So we feel good about that in those markets. On the commercial side, as we talked both last quarter and the first quarter, really the story there is the heavy commercial business, which has performed exceedingly well and has offset the continued weakness in the light commercial business, although the light commercial business is starting to be less negative in part because it is -- the comps are getting easier because it's been down for such an extended period of time. As you know, we don't have nearly as much visibility into the light commercial business as we do the heavy commercial business. We feel very good that the heavy commercial business is going to continue to deliver strong top line and bottom line results, but it's not clear yet when the light commercial business is going to inflect positively. And it will really be dependent upon the inflection in the single-family market.
Stephen Kim: Mike, it's Steve Kim. Just a follow-up. I think last quarter you had suggested that we might see the multifamily business rebound as early as 1Q. I think you had said at that time that maybe you were seeing the comps sort of accelerate or something. And so just wondering, did anything change to sort of push that back? You're now sort of saying maybe back half of the year. So just not to nitpick too much, but just want to make sure we don't miss something that you're trying to communicate about what you're seeing with respect to your backlog timing.
Michael Miller: No, it's just being cautious. And also, as you know, we are influenced significantly in terms of our ability to do install work based upon the trades that come before us. So it's really the ability of the trades that come before us to get their work done so we can get there. And while we're not seeing across the board project delays, there have been in certain select markets some project delays. One of the issues potentially could become for the trades that come before us is we're all expecting because of the starts numbers and what's happened from a completions perspective and the significant decline in multifamily completions is that if there is a significant inflection, which the starts numbers would indicate, you can start to have elongated cycle times on the multifamily side. So we're just trying to factor some of that potential into our thought process as it relates to 2026.
Stephen Kim: Got it. Do you guys anticipate that if there were to be any elongation in cycle times like you just described that, that would be more on the labor side? Or would be more on the product availability side? I assume labor.
Michael Miller: Yes, it is definitely labor. And I'm not -- just to be clear, I'm not talking about our ability to source the labor or our ability to source material. But I definitely think that some of those -- the earlier trades like the framers and foundation guys might experience a bit of an issue from a labor perspective.
Stephen Kim: Got you. Last one for me is you talked about margins benefiting from mix. I think you said product geographic and customer. Can you talk a little bit about the geographic? Was there a noticeable relative strength or weakness across any geographies worth calling out?
Michael Miller: Yes. I mean we definitely benefited from our historical overweight, if you will, to the top half of the country, which has done fairly well relative to the bottom half of the country. I mean, clearly, the weakness that we're seeing in the single-family market or lack of inflection, I should say, in the single-family market is really driven by the entry level, right? We're seeing good solid performance at the semi-custom, custom, regional and local builder level, which, as everybody knows, tend to be centered more from a percentage of overall revenue in the top half of the country. So just to give you some kind of regional flavor for us, and I'm using this based upon the census regions, not the way that we manage the business, but based on the census regions. So the Midwest and the Northeast represent roughly 30% of our new residential installation sales. So that's both single-family and multifamily. In the quarter, those region sales for single-family, multifamily were up low single digits. The South, which is our largest region, is about 45% of residential sales, and it was essentially flat in the quarter. The West region, which is roughly 20% of our residential sales was basically down very low single digits. So clearly there's different performance across the different regions, and we are definitely benefiting from the fact that we have such strong market share in the Midwest and the Northeast. That being said, and I don't want to go into too much detail necessarily on this question, but -- or the answer to this question, but our teams even in the South and the West have performed extremely well given the headwinds that they're facing and the market conditions that are there. So we're really -- we can't shout out enough how proud we are of the field team and the local management and their ability to continue to manage through what is a pretty challenging market environment.
Operator: Next question, Michael Rehaut with JPMorgan.
Michael Rehaut: First, I just wanted to get a sense, you highlighted in terms of your end market demand kind of benefiting perhaps from price point and geographic exposure. I don't know if it's possible to try and triangulate. You had a competitor yesterday talk about their end markets down low double digit. Given your different mix based on customer, based on geography, I'm just trying to get a sense of whether or not you feel like that's down double digits is kind of the right framework for your set of exposures. And if you're able to kind of triangulate what your end markets, what your markets did or have been doing this year or during the third quarter even if you feel like you've outperformed that mark?
Michael Miller: Well, as we said in the answer to the previous question, clearly we benefited from the regions and our exposure to certain regions that have performed well relative to the overall market. I would say that we have been very successful with our customers, particularly the regional and local semi-custom custom homebuilders in our markets to work with them to provide for us a very solid base from a revenue perspective. And we feel very good about our ability to continue to do that. I mean, no doubt, there are headwinds and pressures, particularly as it relates to the entry-level market. But our team is doing an excellent job of focusing on the right customers in the right markets and working to make sure that we offset the challenges that the current market environment is providing.
Michael Rehaut: Okay. So in other words, better markets, but any type of sense of what your markets or how they did during the quarter relative to what you were able to do?
Michael Miller: Yes. I would say that, not in every single market, but if we -- and I think the results clearly reflect this, the team performed much better than the market opportunity that was in front of it. They did that last quarter. They did that this quarter. And so far going into the fourth quarter, we feel very good about their ability to continue to do that. I mean, that being said, I mean, obviously, we will continue to see pressure, particularly in the single-family entry-level market, which is heavily weighted towards the bottom half of the country or the Smile as people refer to it. But while we don't see the inflection yet in the single-family entry-level market, we're hopeful and encouraged that the spring selling season will be certainly more constructive next year than it was this year.
Jason Niswonger: And this is Jason. I would add to that, we've also seen very strong performance in our other complementary products. So the sales growth is not just housing demand focused, it's the strength that we've had in growing those sales organically.
Dominic Bardos: Which is a really important point, right? And we continue to improve the margin on those products. Now they're still less -- they're lower than insulation, considerably lower than insulation. And as we've talked in previous quarters, when the sales rate of the complementary products is higher than the sales rate in insulation, it is a negative to gross margin, but we're making tremendous progress from both the sales perspective, as Jason pointed out, and a margin perspective.
Michael Rehaut: Yes. No, no, I appreciate that point. It actually kind of leads me into my second question around pricing, price mix and gross margin. So you're able to do another modestly positive price/mix in the quarter. I think that's kind of a positive surprise relative to perhaps some concerns around pricing, maybe reflects your own more stable demand backdrop. But I'd love to get a sense of what insulation pricing did during the quarter? How much of the price/mix was price versus mix? And how does it kind of impact your outlook for -- now you have a couple of quarters and several quarters actually in the last year, 1.5 years where you're more or less at that 34% range at the high end of that 32% to 34% and your ability to sustain that type of margin level?
Michael Miller: Yes. So there's 2 parts to that question. On the price/mix growth, a lot of it was mix and the mix was really that our rate of sales growth with the regional local custom builder was better than it was with the production builders, I mean, which is obvious based on their Q3 results. I mean the reality is that given our solid share with the production builders, which tend to be very heavily weighted towards entry level, our sales with them trend with their sales basically fairly closely. So as a consequence, the benefit that we saw from a price/mix perspective in the residential side was really driven by the outperformance, if you will, on a relative basis with the regional local and custom builder, which, as everyone knows, has a much higher ASP than the entry level. And because of our regional difference relative to our regional performance in the top half of the country, building codes and energy codes are much higher in that part of the country. It also tends to be a basement market, which that means that we're insulating the basement, we're insulating to a higher code. It also tends to be on average, a larger home. So you have a much higher average job price in those markets than you do in the bottom half of the country. So as a consequence, all of the things that we talked about from the regional benefit came in to benefit price/mix growth as well. And then on the gross margin part of your question, the -- there's a couple of things that are really helping gross margin and then also some things that were headwinds to gross margin. So -- and we've talked about this in previous quarters, but the -- even though the complementary products saw margin improvement of about 100 basis points in the market, as I mentioned earlier, they still are at a lower gross margin than insulation. The higher rate of growth there then creates a headwind to gross margin. Also, our other segment, which includes the distribution and manufacturing business, naturally has lower gross margins, and it also saw decent growth in the quarter, thus weighing on overall gross margins. Combined, that had about a 60 basis point headwind to gross margin, but that was more than offset with a 100 basis point gross margin benefit from the outsized performance from the heavy commercial business. So those 2 things were more than offset and helped us stay at that high range of the 34% adjusted gross margin. I will say that the benefit that we received from the heavy commercial business in gross margin at 100 basis points this quarter, we don't expect to see in the fourth quarter of this year, not because they won't continue to perform well, but because they had already raised their gross margin up by the fourth quarter of last year to sort of where it is today. So we don't expect any incremental benefit coming from the heavy commercial business in the fourth quarter. But we still feel very confident that we will operate in that 32% to 34% adjusted gross margin range on a full year basis.
Operator: Next question, Susan Maklari with Goldman Sachs.
Susan Maklari: My first question is following up on the gross margin comment, Michael. It seems like part of this is that you're doing a good job at being able to preserve the core margin that you're realizing on your installation of insulation even with the pressures that are coming through across the different regions and types of builders. Can you talk about how those conversations are going and how you're able to leverage the value add and perhaps the growth in the ancillary products that Jason mentioned in there to preserve that core margin?
Dominic Bardos: Yes, Sue, just to be clear, it's the field team that's doing it, and they're doing an incredible job. I don't think anybody in this room feels that they can take responsibility for what a great job they're doing. But I think those conversations are definitely challenging right now given the softness, particularly at the entry level. But the reality is, is that we provide an installed solution. So we're not providing just labor. We're not providing just material. We're providing an installed solution and we're solving problems for builders. And they absolutely appreciate the value that we're providing. And this has been a continuous story for us, quite frankly, in terms of the team's ability to continue to do that. We, as we've talked, I think, on multiple occasions about the benefits of a softer environment on the uptake of the complementary products. We're absolutely seeing that. The team is doing what we would have expected them to do. We think that -- we don't think, we know, that our incentive compensation systems are designed, quite frankly, to drive outperformance in a challenging market because so much of our branch managers' compensation is tied to the profitability of their location. In fact, I mean, really, when you think about it, almost every employee within IBP has some portion of their compensation tied to profitability. And we think that drives outperformance in a challenging environment.
Susan Maklari: Yes. Okay. And then turning to SG&A. It seems like you're also doing a nice job at controlling those costs in this kind of an environment. Can you talk about the progress that you're making on the reductions that you had mentioned earlier this year and anything else that's flowing through there that we should be aware of?
Michael Miller: Yes. Thanks for that question, Sue. Definitely we're making very good progress. We still have progress to make. I mean, to a large extent, the efforts that the whole team is making to control the G&A that we can control is, to a large extent, being offset, unfortunately, by some of the things that aren't immediately under our control like insurance, and that's insurance at all levels. But the team is really working very hard to lower G&A expenses. And our objective is that we will offset the natural inflation in some aspects of G&A and some of the headwinds that we're experiencing on the insurance side of G&A with the savings that we're continuing to experience on the G&A side. But it's really, at this point, an opportunity for us to maintain the growth or to use our belt tightening, if you will, to offset some of the costs that we don't directly or immediately control.
Operator: Next question, Phil Ng with Jefferies.
Philip Ng: Congrats on a really impressive quarter. I guess, Michael, that was really helpful color when you shared with us just now on your trends in the Southeast and the West, which was actually very stable, clearly outpacing the market handily. Was there a big pivot this year in terms of your go-to-market strategy to kind of lean harder in some of these custom and regional builders? Or you've always been generally a little higher there just because it does feel like the team's really outperformed here.
Michael Miller: Yes. I think that's a fair assessment, Phil, in the sense that our team looking forward, obviously, working with their production builder entry-level builders saw the weakness that the market was going to present. And really saw that as an opportunity to work more closely with some of the other customers in that -- in those markets to offset what they saw as the headwinds coming. And the team has done a great job of performing relative to that. Now the reality is that there continues to be some states that are very weak. We talked about Florida last quarter and Florida continues to be quite weak. Although as I mentioned earlier, we're seeing some encouraging signs on the multifamily side in Florida, but it continues to be very weak. Texas is a state that people call out, which Texas is our second largest state. It definitely has pockets of weakness, but we believe our team is doing a good job there of trying to offset some of that weakness by changing a little bit of the customer mix and also cross-selling the other products. And quite frankly, Texas is really one of the markets that's been very successful for us on the multifamily side. The CQ team, which is our centralized multifamily operation that covers around 40% to 45% of our multifamily revenue has really outperformed in Texas and allowed us to gain solid market share in that market, but in a profitable way.
Philip Ng: Okay. Super. And Michael, I think what you just said earlier, October trends, November sound pretty good, and you're still outperforming pretty handily. One, did I hear you correctly? And I know you don't give guidance. Part of this question is just most of your peers have seen and expect demand to really soften in the back half and perhaps these declines moderate going into next year. Your trends have been very different from everyone else. So I'm just really curious, is that decline to come? Or this is potentially the trough, especially as we go into next year, perhaps rates coming in, the consumer getting a little better kind of back on the men. Just want to better appreciate some of the nuances as it relates to your portfolio.
Michael Miller: Yes. And thanks, Phil, for reiterating that we don't provide guidance. And in my answer to your question, I don't mean this to be guidance. It's just publicly available information that I'll use to sort of triangulate a little bit on our expectations for the fourth quarter. So I think as a lot of people on the call know that roughly 55% to 60% of our total revenue is new single-family construction. Of that 55% to 60%, roughly 27% to 30% of that revenue comes from the public builders. If you look at the guidance that those builders provided for the fourth quarter, and as I said in the answer to an earlier question, our sales to them kind of track their sales basically. Their numbers, right, their publicly available numbers would suggest that their sales are going to be down on a combined basis, roughly high single digits. And that high single-digit decline would be roughly 400 to 500 basis points higher than the typical seasonal decline from the Q3 to Q4 because Q4 is seasonally a lower -- typically lower revenue month across the board within building products. And we expect that, that extra 400 to 500 basis points of revenue headwind that they're forecasting, we will feel as well in that portion of our business. So to more succinctly answer your question, we do think that the fourth quarter is going to create pressures. Multifamily completions, we don't expect to inflect positively in the fourth quarter. So there's definitely going to be headwinds. But we have confidence based upon what the trends that we're seeing and what we've experienced over the past 2 quarters that our team is going to perform better than the overall market opportunity, but there are definitely going to be headwinds coming into the fourth quarter and the first quarter on the new residential construction side. We feel very good, though, and I'll reiterate this probably 10 times on the call today. We feel very good about what the heavy commercial business is doing and is really helping to offset some of those residential construction headwinds.
Operator: Next question, Mike Dahl with RBC Capital Markets.
Michael Dahl: Just want to follow up on that last point and just to make sure we're understanding. When you talk about the high single-digit decline, are you talking about their delivery guides or something else? Because I think the starts commentary has been pointing to more significant declines in starts, understanding that you guys have some differences in lag timing, right? I just want to make sure we're understanding what you're saying. And then could you give us any insight into then on the private side, are those customers of yours seeing a significantly different trend than what you just articulated for the public? Or are they kind of starting to follow suit into your…
Michael Miller: Yes. So my comment around the Publix was more closings versus starts, right? And they are 2 different things, as we all know. As it relates to the kind of custom, semi-custom and regional and local builders, I would say that the commentary is generally flat, where they're not seeing -- and obviously, it's market by market. But if I had to put it in a kind of broader context, it would be that the market is flat, it's not getting worse, but it's also not getting better.
Michael Dahl: Okay. Got it. That's helpful. And then shifting gears back to the gross margin dynamic. I appreciate the color on the heavy side and that you're now comping against the step-up there. So when we think about the year-on-year impacts for fourth quarter, I think you articulated kind of some of the moving pieces around mix. But when we think about that fourth quarter, can you just dial that in a little better in terms of, all right, we don't have the 100 basis point tailwind. We do have some of the headwinds and some other -- how do those headwinds in your mind stack up compared to what you just articulated for the 3Q dynamics?
Dominic Bardos: Yes. I mean we would expect that we would -- I mean it's interesting that we call out gross margin headwinds because the businesses are performing, those businesses perform very well, right? And they're improving margin, but just that they're at a lower gross margin to start with, just creates that sort of headwind. We would expect that trend to continue through the fourth quarter, where the other products, the other segment, which is the distribution manufacturing business, we continue to grow at a higher rate than in the insulation business. So as a consequence, we believe that headwind will be there. And then as I said and you pointed out, we don't expect to see that much incremental gross margin benefit from the heavy commercial business in the fourth quarter. And just as a reference point, in the fourth quarter of last year, the adjusted gross margin was 33.6%. So again, well within our 32% to 34% full year range that we've talked about.
Operator: Next question, Jeffrey Stevenson with Loop Capital Markets.
Jeffrey Stevenson: Congrats on the strong results. So I wanted to dive deeper into the double-digit growth in complementary products, which is great to see. Would you call out any products that are outperforming? And is most of the strength in better single-family markets such as the Midwest?
Michael Miller: That's part of it. But also keep in mind that within the complementary bucket, if you will, is primarily -- the heavy commercial business is primarily in the complementary product bucket. So they're definitely helping from a growth perspective in those products. But we're definitely seeing it on the residential construction side of the business as well, particularly on a margin improvement basis. So we feel good about what the team has been able to do there, so. And to answer your question specifically, I mean, there's not -- I would say that -- I wouldn't highlight any one particular of the complementary products as being any better than the others. It's really a uniform story in terms of their growth with the one exception that growth that Jason talked about is definitely being helped by the heavy commercial business.
Jeffrey Stevenson: Okay. Understood, Michael. Obviously a lot of discussion over the outperformance with the regional and local builders over the national public builders. And as you look at your backlog moving forward, could you -- would you expect those mix tailwinds to continue, especially given the softness at the entry-level price point right now?
Michael Miller: Yes. We would expect that to be the case until the entry-level inflects. And we're hoping that, that happens in the spring selling season.
Operator: Next question, Keith Hughes with Truist Securities.
Keith Hughes: Just to level set on the commercial, about $135 million in revenues in the quarter. What is the split right now between heavy and light?
Michael Miller: So on the install side, which is just slightly different than from the total IBP perspective, on the install side heavy commercial is around 11% of revenue and the light commercial is like 7.5% of revenue.
Keith Hughes: Okay. And what is the dividing line between light and commercial? Is that -- is there a job size? Or is it a product? Or how do you define that?
Michael Miller: I mean the simplest way is that light commercial is framed construction and heavy commercial is steel and concrete.
Keith Hughes: Okay. And from a growth rate -- when if we look longer term, I think you want to do more in this market. What do you think has the bigger TAM that you could reach?
Michael Miller: Heavy commercial without a doubt. I mean our market share in heavy commercial is, in the markets that we're in, it's great. But [indiscernible] because we have so much geography that's open to us. And now that we have so much confidence in the team, and the team is working so well that we see a lot of opportunity there on an acquisition opportunity and then also potentially on a de novo basis, but that's going to be very selective.
Keith Hughes: And what's stopping really accelerating the acquisition activity there? It seems like a great business for you. Just seems like we would see more deals or maybe that's to come. What's kind of your view of the pacing, I guess, is my question.
Jeffrey Edwards: This is Jeff, Keith. So I would say, honestly, unlike what we would say about our residential business, I think the potential for organic growth by us following customers and developers and general contractors that we have relationships that actually, in this case, outweigh maybe even some of the commercial acquisition activity. It's not to say that it isn't there, but I wouldn't be surprised if we don't end up moving more on the organic side than we do on the acquisition side in that part of the business. Not to downplay that there aren't opportunities. It's just I think that may happen [indiscernible] organically.
Keith Hughes: Final thing. It lends itself to organic growth, what dynamic of it lends itself to organic growth more than, say, your residential insulation is?
Michael Miller: I don't want to call the customers necessarily stickier than they are on the residential side because we also make a point of calling our residential customers because of the jobs that we do for them, the work that we do for them, the quality, et cetera, we provide is being sticky. But I do think maybe the universe of contractors that can perform the services that we perform on the commercial side, especially the bundling of that [Audio Gap] But I think in addition to that, it's just -- we'll be able to follow developers and builders to other large metro areas that we're currently not in with heavy commercial.
Operator: Collin Verron with Deutsche Bank.
Collin Verron: I just want to start on price cost a little bit. I appreciate all the color around the moving pieces of mix on gross margin. But any color as to how price cost is tracking and more specifically within the residential insulation business and the commercial insulation business?
Michael Miller: Well, I mean, I think on the commercial side, there's definitely a difference between the light commercial and the heavy commercial. As we've talked about, the light commercial business has been weak for multiple quarters at this point. So obviously that can lead to some pricing pressure. I would say on the single-family side, really where there's pricing pressure, and we would expect it to continue until the market inflects positively is it's more regional in nature and more at the entry level that we've been talking about. I would say at the custom, semi-custom our top half of the country, while obviously it's a competitive environment, the competitive challenges are not as significant as they are in the parts of the market that are softer. I mean it's a logical supply and demand sort of response. But at the same time, our team is doing an excellent job of working hard to maintain price and provide for the builder a high level of service that they will value and pay a fair price for. We are constantly working to be more efficient for our builder customers and to provide them as much value as possible. But there is a fair balance between what we get paid for and the installed solution that we provide.
Collin Verron: That's helpful color. And I just want to touch on the distribution and manufacturing side. I know it's a small piece of your business, but the growth is really strong in the quarter and contributed to growth at an outsized pace relative to its size. I guess just any color as to sort of what's going on there and sort of the trajectory of that business as you look out a little bit further?
Michael Miller: Yes. And keep in mind, some of the growth that -- or a portion of the growth that is in that other segment is coming from our internal distribution efforts, which we've talked a lot about. And that's really coming to fruition. And you can see the growth rate in that in our segment disclosures that just shows the significant growth of intercompany sales. And we estimate that year-to-date and in the quarter that the internal distribution efforts provided an almost 50 basis points benefit to gross margin.
Jeffrey Edwards: We're just executing on the plan that we've talked about for multiple…
Michael Miller: Years.
Jeffrey Edwards: Yes, years. I was going to say multiple quarters, let's say, multiple years.
Michael Miller: Yes. So the benefits there are coming to fruition. We still have a lot of work to do, but the team is working really well together, and we finally have gotten, I think, a wide acceptance among the branches to support the effort of internal distribution.
Operator: Ken Zener with Seaport Research.
Kenneth Zener: It feels like we were looking at a force and then the light was turned on and you're more like a Zebra relative to the regional customer mix. So first question. For customer mix…
Michael Miller: Is that good or bad?
Kenneth Zener: It is what it is. So for customer mix, generally speaking, I think you talked about even the public is about 30%. Can you talk to the dollar generally, Michael, I know you've disclosed a lot today, so I don't want to press you. But what is generally like kind of the dollar spread between like that public, which I think people understandably characterized you guys as, as opposed to the 70% that's actually going to that private, more custom bucket since it's the majority? And then can you describe the demand dynamics of those builders buyers? So if it's custom, it's not going to be as tied to affordability entry, it's going to be more non-spec, et cetera?
Michael Miller: Yes, that last part of your comment or question there, Ken, is definitely accurate. I would say that the average job price for the regional and local builder because of the type of product that they're building, and I'm not talking on a per square foot installed basis, I'm just talking about the average job price, right? So because of the type of product that they're building because they're generally speaking, going to have a basement, which adds another level of work for us to insulate, those average job prices are multiples of what the average job price is for an entry-level home.
Kenneth Zener: Okay. And the -- just trying to think more of my question here. Given that multiple difference, is that something -- well, I guess I'm going to tie this into my second question. The census data, besides the fact it's not going to be published right now, is highly inaccurate for the markets that the public builders are in, the Smile because most of the builders don't respond to the census. Do you feel that the census data is more accurate in those non-Smile states relative to kind of the starts and the activity that you've seen?
Michael Miller: Boy, I think we would have to go back and look at the information over an extended period of time to see if the adjustments that they make to the information is greater in the Smile than it is in the top half of the country. Yes, I have no idea, and we've never really looked at that. I mean…
Kenneth Zener: Yes. It's never been…
Michael Miller: Yes. We sort of take it at face value for what it is. Obviously we don't run our business based upon what the Census Bureau is reporting, so.
Kenneth Zener: And then relative to that, given your -- and we very much appreciate your commentary relative to the census boundary definition. Given that so much of your business is to the nonpublic and that mix is geared more towards a higher total take, it seems to me that's the biggest factor as we enter '25 for expectations for your business in addition to your cost controls. Is there a reason that the base of your business is going to be detrimental next year? Because it seems if you have more of your mix in these more attractive markets where there's better job growth, et cetera, that we could continue to see kind of a disconnect relative to census data next year, simply tied to your product mix and your regional mix. Is that a fair assessment that the spread we've seen this year would persist into next year?
Michael Miller: I mean, obviously, well, one, we don't provide guidance. Two, obviously, it depends upon what ends up happening in the market. What I would say though is that while the entry-level market right now, as we all know, is challenged and it's a challenging operating environment for there. And yes, our customer mix and regional mix is hitting or helping our outperformance. It's not the only reason we're outperforming. The team is doing the outperformance, but it is definitely helping in that situation. I would say, though, and it's one of the reasons why we're so excited about the business and continue to be is that when the inflection comes in the entry-level market, we are completely set up to benefit from that inflection upward. And we think that, that will come at the same time when the regional and locals are going to continue to perform as well. Now does that mean it will put pressure on our price/mix disclosure? Absolutely, because we'll be seeing an acceleration in that entry-level market. But at the same time, as we've talked about before, even though it's at a lower job price, considerably lower gross margin, the cost to serve is considerably lower as well and the EBITDA contribution margins on that business is solid. So I don't think -- or I know we're not ready to call when that inflection happens. We're hoping that it's the spring selling season. But whenever it happens, we're ready to work with our customers to make sure that we can all capitalize on the opportunity that, that will present.
Operator: Next question, Adam Baumgarten with Vertical Research Partners.
Adam Baumgarten: Just on the multifamily business, I know when things started to slow and you have a pretty unique business within that, you guys talked about sort of the white space geographically you had and some organic opportunities to expand there in a weak market. I guess any update there on how that's going, if you're starting to see some benefits from maybe a renewed effort to kind of go out of your core markets?
Michael Miller: That is a great question, and I appreciate you asking it because, yes, we are making very good progress on that front. It's not translated into revenue yet, but it's translated into backlog. And the team is doing a really good job of, as Jeff said in his prepared remarks, going into new markets and opening up those new markets for multifamily. And we really believe we have a differentiated model/opportunity for the GCs on the multifamily side, and we'll continue to strategically and methodically pursue continued market share gains in multifamily. I mean, honestly, for us, the multifamily story, as we've talked before, it's a lot about us catching up from a market share perspective to where we should be because we really lagged behind in a lot of markets, particularly markets in the smile, we lagged behind from a multifamily perspective because we were so focused on the strong single-family opportunity.
Operator: Next question, Reuben Garner with The Benchmark Company.
Reuben Garner: Congrats on another strong quarter. My question, and apologies if this has already been discussed, I had to hop on late, but just curious on the current M&A environment. I know you picked up a couple of kind of specialty product categories of late. But curious on what the environment is like for some of your smaller insulation peers and then also the likelihood that we could see something larger or maybe even in a different vertical in the near or medium future.
Jeffrey Edwards: Great. This is Jeff, and I'm glad you asked that question. So I think the environment from an acquisition perspective on both the small guys, the ones that are kind of regular way as we would usually call them is not dissimilar that it's been really over the last, I don't know, 20-plus years. Like we've said all along, the deals are kind of lumpy. We did make an effort to kind of do some add-on kind of bolt-on deals, which you've seen some of those flow through. But we're actually pretty excited about some of our kind of regular way, both in size and in terms of quantity kind of deals that we have in the pipeline currently. In addition, we continue to look at kind of what we would call adjacent areas to the business, still interested pretty seriously in potentially commercial roofing and other areas where we would be installing products that have similar characteristics to the things we already install. But I guess also going back to Keith's question, I may have at least interpreted the question more narrowly than the way he asked it, which is also kind of a lead into what you asked also. And that is when I said that there wasn't -- maybe the avenue for acquisitions on the heavy commercial was kind of more organic or was going to be constrained on the acquisition side. I was interpreting at least the question being asked specifically to the products that Alpha installs currently. And I think we feel pretty good about our ability to kind of chase the things that we do well as Alpha organically. Now there are definitely other product lines that Alpha is not in, but I would categorize those more as adjacencies that we could get into on the heavy commercial side in that particular area, we're very excited about what our prospects have in front of us.
Operator: I would like to turn the floor back over to Jeff for closing remarks.
Jeffrey Edwards: Thank you all for your questions. I look forward to our next quarterly call. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.